Operator: Good afternoon, ladies and gentlemen and welcome to the ToughBuilt Third Quarter 2022 Earnings Call. During the presentation, all participants will be in a listen-only mode. [Operator Instructions]. As a reminder, today’s conference is being recorded. I would now like to turn the call over to Martin Galstyan, Chief Financial Officer. Please go ahead.
Martin Galstyan: Good morning and thank you all for joining us today to discuss ToughBuilt third quarter 2022 financial and operating results. Again, my name is Martin Galstyan, and I am the Chief Financial Officer of ToughBuilt. Joining me on today’s call is; Michael Panosian, President and Chief Executive Officer of ToughBuilt. Michael will begin today’s discussion by providing operational and financial highlights from the third quarter. I will then review our financial performance for the same period. Michael will conclude the discussion with our plans for the remainder of 2022 and beyond. Before turning the call over to Michael, I would like to remind you that any forward-looking statements made by management are covered under the US Private Securities Litigation Reform Act of 1995 and are subject to the changes, risks and uncertainties described in the press release and in our US security filings. In addition, during the course of the call, we may refer to non-GAAP financial measures that are not prepared in accordance with accounting principles generally accepted in the United States and that may be different from non-GAAP financial measures used by other companies. Investors are encouraged to review the ToughBuilt’s current report on Form 8-K, furnished with the SEC for ToughBuilt reasons for including those non-GAAP financial measures in its earnings release and presentation. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures are contained in our earnings press release issued earlier today, unless, otherwise noted, therein. I will now turn the call to Michael.
Michael Panosian: Thank you, Martin and thank you all for joining us on today’s call. The third quarter of 2022 was strong for ToughBuilt, culminating in revenue $30.2 million and approximate 76% year-over-year increase compared to Q3 2021. As a result of strong revenue numbers and our expansion efforts, we expect to see both store and online revenues continue to grow year-over-year. In July 2022, we announced that we entered into an agreement with Ace Hardware, USA and International to sell 35 ToughBuilt products, in which, Ace will distribute utilizing 15 regional service centers to reach 5,500 individual Ace stores. In August 2022, we announced that we have started to sell 93 ToughBuilt products on Amazon, Italy and Amazon Germany. We also announced our entry into supply agreement with many top retailers in Spain hardware market. Finally in August, we announced the launch of our all new Reload Utility Knife, a groundbreaking new cutting tool. September was a particularly busy month, with major expansion in both our networks and our tool lines. During the month, we announced our entry into the global measuring and marking, $1.4 billion market segments with a family of tape measures and chalk reels. We also announced that we entered into an agreement with two major wholesale food distributors in Switzerland, marking an expansion of European distribution that includes more than 250 retailers. We also announced major expansion for our network of storefronts in Great Britain, confirming new and expanding agreements with more than 900 collective retail locations in Great Britain. Finally in September 2022, we announced the launch of 21 new SKUs into the global handsaws segment, beginning with a line of seven cutting tools. The new line will be available Q4 2022 for a purchase through a leading US home improvement retailer and throughout our international retail network. Subsequent to the end of third quarter, we continued our strong momentum by continuing to expand both our distribution network and our product lines. In October, we launched a comprehensive line of innovative striking tools, and a 500 Rotary Laser Level Kit. We secured more new distributor agreements with four major retailers in Germany, reaching an agreement with Sodimac, the largest home improvement and construction supplier in South America, and expanding distribution of 84 product SKUs in all 96 Sears’ stores in Mexico. As you are all aware, supply chain disruptions have caused great difficulty for many industries over the last year, due to our strong inventory levels in 2021, and the nine months ended September 30, 20 22, the ongoing supply chain disruptions have not had any material adverse effect on our operations. And we do not currently anticipate that any continuous supply chain disruptions will have a material adverse effect on our operations for the remainder of the fiscal year 2022. As you can see, the third quarter has proved to be a milestone period, yielding success validated by our sales and revenue, giving us confidence to continue our growth and path to profitability going into the remainder of the year. I will turn the call back to Martin to cover our financial results in greater detail. Martin?
Martin Galstyan: Thank you, Michael. Revenues for our third quarter of 2022 were approximately $30.2 million, an increase of 76% compared to the same period in 2021, primarily due to the wide acceptance of our products and the tool industry and receive a recurring sales orders for metal goods and soft goods from our existing and new customers. The introduction and sale of new soft good product to our customers and an increase in sales through Amazon. Cost of goods sold for three months ended September 30, 2022 and 2021 was $22.3 million and $11.7 million, respectively. Cost of goods sold increased by 90% compared to the same period last year, primarily due to our increased sales as well as an increase in materials to manufacture metal goods and soft goods, and an increase in labor costs in China. Selling, general and administrative expenses for the three months ended September 30, 2022 and 2021 were $14.7 million and $15.2 million, respectively. SG&A expenses decreased in 2022 over 2021 by 3.7% primarily due to lower shipping costs and some cutbacks. We expect our SG&A expenses that will start to increase at a lower rate as our business matures, and we develop economies of scale. Research and development costs for three months ended September 30, 2022 and 2021 were $2.8 million and $1.6 million, respectively. This increase was primarily due to the company developing new tools for the construction industry. We recorded a net income of $539,000 for the three months ended September 30, 2022 as compared to a net loss of $9 million for the three months ended in September 30, 2021. Our balance sheet as of September 30, 2022, our cash position was $1.6 million. Our accounts receivable were $23.4 million. Our inventory was $40 million. Our prepaid and other current asset was $2.8 million. Subtracting our current liabilities of $39.4 million which gives us a working capital of $28.5 million. Additionally, we are seeing cash coming into the company daily as we sell down our industry. I will now turn the call back to Michael for his final remarks. Michael?
Michael Panosian: Thank you, Martin. Before I open the call for questions, I would like to reiterate the tremendous market opportunities that continue to exist at ToughBuilt, and the infrastructure we have in place to capitalize on those opportunities. We are uniquely positioned with top retailers around the world, selling more ToughBuilt products and building upon our successes. Amazon.com sales continue to be a leading growth driver due to repeat orders from our strong retail base. As I mentioned previously, our future revenue opportunities can be broken down into three buckets, expanding existing relationships with retail partners, adding new retail partners, introducing new product categories. In the third quarter, we executed on all three of these items. I along with the entire ToughBuilt organization are committed and confident in our ability to maintain our growth position.
Operator:
Q - :
 : And, ladies and gentlemen, there’ll be no questions today. We thank you for your participation and ask that you please disconnect your line.